Operator: Welcome ladies and gentlemen to the Bird Construction Fourth Quarter 2015 Financial Results Conference Call. We will begin with Mr. Ian Boyd’s presentation, which will be followed by a question-and-answer session [Operator Instructions] As a reminder, all participants are in a listen-only mode and the conference is being recorded [Operator Instructions]. Before commencing with the conference call the company would like to remind those participating that certain statements which are made express management’s expectations or estimates of future performance and thereby constitute Forward-Looking Statements. Forward-looking statements are necessarily based on a number of estimates and assumptions that, while considered reasonable by management, are inherently subject to significant business, economic, and competitive uncertainties and contingencies. In particular, management’s formal comments and responses to any questions may include forward-looking statements. Therefore the company cautions today’s participants that such forward-looking statements involve known and unknown risks, uncertainties and other factors that may cause the actual financial results, performance or achievements of the company to be materially different from the company’s estimated future results, performance or achievements expressed or implied by these forward-looking statements. Forward-looking statements are not guarantees of future performance. The company expressly disclaims any intention or obligation to update or revise any forward-looking statements whether as a result of new information, events or otherwise. At this time, I would like to turn the conference over to Mr. Ian Boyd, President and CEO of Bird Construction. Please go ahead Mr. Boyd.
Ian J. Boyd: Thank you. Good morning everyone, thank you for taking the time to participate in our fourth quarter and annual 2015 conference call. With me today is Stephen Entwistle our CFO. I'm pleased to report that in 2015 the company had a successful year in a number of fronts. Our strategy to address an expected downturn in the resource sector activity was to build the profitable base of work in the institutional market sector with a particular focus on PPP and alternative finance projects. We pursued select projects which we believe we were in a good position to secure and that leant themselves to our core competencies. In the year, we secured seven such projects. A strong performance one that exceeded even our own expectations particularly in light of the very intense competition for these infrastructure developments. These projects have made a positive contribution to our earnings in 2015 and just as importantly contributed to the significant level of backlog at year-end, which will support earnings in 2016 and beyond. A list of project awards include the East Rail Maintenance Facility in Whitby, Ontario; a Composting facility in Calgary, Alberta; the construction of 18 joint use elementary schools in the province of Saskatchewan; the Stanton Territorial Hospital renewal project located in Yellowknife, Northwest Territories; the Moncton Downtown Centre in Moncton, New Brunswick and the Casey House Hospice in Toronto, Ontario. The regions in which these projects are located represent a broad cross section of Canada and will involve staff in many of our operating districts, further demonstrating the diversity of our work program and mobility of our people. In addition, the company also was successful in securing a significant number of other institutional projects across all of our operating regions representing our strength in our traditional markets. In addition to securing numerous PPP projects and providing significant backlog for our core construction operations, the company was also successful in acquiring and equity position in the construction entities associated with many of these projects. Participating in equity has been a strategic initiative for the company for several years as to provide the company greater involvement and influence and the pursuit strategy of a projects and serves to diversify our source of our earnings. Success in securing work in all market sectors inclusive of our industrial operations enable the company to book record settings amounts of backlog in three consecutive quarters in 2015. Although our backlog declined in the fourth quarter from an all time high of roughly $1.8 billion at the end of the third quarter, we are still carrying forward a backlog of over $1.6 million, which as stated earlier will make a significant contribution to earnings in 2016 and beyond. In 2015, net income of $21.5 million was lower than 2014 net income of $36.2 million, a reduction that was mainly due to a non-cash charge to earnings of $22.4 million for the impairment of goodwill and intangible assets relating to the Company’s investment in its wholly owned subsidiary H.J. O’Connell Limited. Adjusting for the non-cash impairment charge, the Company’s adjusted net income was $41.8 million representing a 15.5% increase in earnings relative to 2014 net income results. An increase in earnings of $5.6 million is a result of an increase in construction revenues and improvement in our gross profit percentage and a reduction in our general and administrative expense. The company has targeted larger, more complex projects in all of our market sectors and regions and in 2015 successfully managed our work program comprised of these complex projects to generate solid financial results. This is a testament to our talented employees and their dedication to their work, the company and our clients. Finally success at Bird is not only measured in financial results, rather we strive to be leaders in safety and continue to pursue the concept of safe production and the execution of our work. To this end in 2015, we executed just under five million man-hours of work while incurring one loss-time incident. A very strong performance further validating our ongoing efforts in this regard. 2015 results compared to 2014 results. In 2015, the company recorded net income of $21.5 million, on construction revenue of $1.454 billion compared with $36.2 million and $1.365 billion respectively in 2014. Despite higher 2015 revenues, net income fell below 2014 results primarily because of a non-cash impairment charge of $22.4 million or $20.3 million after deferred tax reversals for the impairment of goodwill and intangible assets relating to the Company’s investment in its wholly owned subsidiary H.J. O’Connell Limited. Unfavorable economic and market conditions are expected to continue in the Eastern Canadian mining sector, which is the primary market for O’Connell’s operations. Accordingly in the third quarter of 2015, the company reduced the carrying value of the goodwill and intangible assets relating to this investment to nil. Adjusting for the after tax non-cash impairment charge of $20.3 million, the company’s adjusted net income was $41.8 million. The increase in adjusted net income of $5.5 million relative to 2014 is a result of higher 2015 gross profit resulting from both an increase in construction revenues and an improvement in the gross profit percentage. A reduction in the amount 2015 general and administrative expenses also contributed to an increase in 2015 adjusted net income. The increase in revenues, a higher gross profit percentage and a lower general and administrative expenses are all positive results in 2015 somewhat offset by the O’Connell impairment charge. Construction revenue in 2015 of $1.44 billion was $80.3 million or 5.9% higher than the $1.365 billion recorded in 2014. The increase in construction revenues was largely due to the execution of the company’s significant institutional work program, including many PPP and alternative finance projects secured earlier in the year. Company’s industrial revenues remained relatively comparable to those recorded in 2014, primarily derived from the continued execution of our industrial work program conducted in Northern Alberta. In 2015, the company’s gross profit of $120.6 million was $9 million or 8.1% higher than $111.6 million record a year-ago. The increase in the amount of 2015 gross profit is mainly due to an increase in construction revenue combined with a slight increase in the gross margin percentage of the company’s institutional and commercial work program. Gross profit realized from the company’s industrial projects remain comparable with those achieved last year. In 2015, the company’s gross profit percentage of 8.4% compares with 8.2% recorded a year earlier. 2015 general and administrative expenses of $60.5 million or 4.2% or revenue compares with the $64 million or 4.7% of revenue in 2014. The reduction in 2015 expenses was primarily due to a reduction in company’s workforce in certain areas where economic conditions remain weak combined with lower project pursuit cost. Finance and other income in 2015 of $2.3 million was $0.9 million lower than the $3.2 million recorded in 2014. The reduction in the amount of 2015 finance and other income was largely due to $1.5 million net loss resulting from the sale of the company’s investment and a preferred share portfolio offset to some extent through higher interest income relating to the accretion of the holdback receivables. Finance costs of $4.7 million were $2.5 million higher than the $2.2 million reported in 2014. The increase in finance expense is primarily due to interest expense incurred on non-recourse project debt used to finance two alternative finance construction projects. In 2015, income tax expense of $13.9 million was $1.5 million higher than 2014, consistent with higher current period pre-tax earnings adjusted for the non-cash impairment charge which is a non-deductable expense for income tax purposes. Fourth quarter 2015 compared to fourth quarter 2014. In the fourth quarter of 2015 the company recorded net income of $11.6 million on construction revenue of $413.4 million, compared with a net income $12.9 million and $390.6 million for construction in the final quarter of last year. The reduction in 2015 rather net income is primarily a result of higher general and administrative expenses and finance and finance costs offset to some extent by higher gross profits resulting from an increase in construction revenue. Fourth quarter of 2015 construction revenue of $413.4 million was $22.9 million or 5.9% higher than the $390.6 million recorded in 2014. The increase is largely due to an increase in the revenues derived from the execution of a company’s sizable institutional work program secured earlier in 2015. Although construction revenue derived from the industrial work program remained strong in the last quarter, there was a reduction compared to a year-ago. The company is now experiencing a shift in the composition of its revenues toward the institutional market sector due to the high level of contract awards in the sector in 2015. This shift in the company’s work program was expected as work in the industrial sector declines due to the reduction in capital spending programs by our industrial clients in response to low commodity prices. In the fourth quarter of 2015, the company recorded gross profit of $33.6 million compared to $32.8 million in the final quarter a year-ago. The increase in the amount of gross profit is due to an increase in construction revenue driven by the execution of the company’s institutional work program. Our 2015 gross profit percentage of 8.1% compares to 8.4% in the fourth quarter of 2014. In 2015, general and administrative expenses of $16.3 million were $1.1 million higher than the $15.2 million recorded in the fourth quarter of last year. The increase is primarily a result of higher variable compensation expense. In both years, quarterly general and administrative and expenses represented approximately 3.9% of revenues. 2015 finance income of $1.2 million is relatively comparable to the $1.1 million recorded in the same period a year-ago. Finance cost in the fourth quarter of 2015 were $2.7 million equivalent to a $2.1 million increase over last year. Higher 2015 finance costs were a result of the interest expense incurred on non-recourse debt used to finance construction of two alternative construction projects. In the fourth quarter of 2015, income tax expense of $4.2 million was $1 million lower than 2015 consistent with lower pre-tax earnings in the current quarter. Outlook. Now, I'll provide some brief remarks about our outlook for 2016. In 2015, the company continued the execution of its large work program in Western Canada that was awarded in late 2013 and 2014. Despite the low oil price environment and the resulting reduction in capital investment these projects proceeded as planned in 2015 and accordingly made a significant relative contribution to revenues and gross profit in the year. The continued decline in oil prices through the course of 2015 and into 2016 has limited new opportunities in this market sector and the company has been unable to fully replace this work program thus far in 2016. Although we anticipate the capital expenditures in the energy sector will continue in order to support the productive capacity of existing pants, the available opportunities will be smaller and shorter cycle in nature and primarily focused on sustaining capital and maintenance programs. Accordingly, we expect to execute less revenue and generate less gross profits in our industrial work program in Western Canada as compared to 2014 or 2015. In Eastern Canada, we are not expecting any significant turnaround in profits to be derived from our mining based operations. Helping to offset the reduction in the contribution from our industrial operations will be the execution of our significantly institutional work program largely comprised of a number of PPP and alternative finance projects secured ion 2015. Overall, the shift in the composition of our work program from higher margin industrial work to lower margin institutional work is expected to generate lower gross profits in 2016 compared with those realized in 2015. As a result, 2016 earnings are expected to be less than the 2015 adjusted earnings. The industrial market sector contributed 51% of 2015 revenues as compared to 57% in 2014. As noted previously, the shift towards our higher percentage of institutional work commenced in the last half of 2015 and we expect that the impact will be even more significant in 2016. At current low oil price environment, we do not believe that we will be successful on replenishing our backlog to levels that enable us to generate the industrial revenues and earnings results achieved in 2015. LNG projects in British, Columbia has the potential to offset an expected reduction in the industrial work in Western Canada and the company continues to actively pursue elements of these projects, although the potential for them proceeding remains uncertain. In Eastern Canada, mining opportunities will continue to be limited due to low resource prices. Opportunities in the hydroelectric sector will continue to be available at the Lower Churchill Muskrat Falls Project, although with major contracts scopes already tendered and awarded, the opportunities moving forward will be smaller in size. The company continues to actively pursue whether Run-of-River Hydro Projects at various regions across the country. In Eastern Canada, opportunities do exist with LNG projects as well. However, similar to Western Canada the potential for them proceeding remains uncertain. Institutional sector contribute 34% of 2015 revenues as compared to 24% in 2014. The larger institutional work program secured early in 2015 began to make a more significant contribution to earnings in the last half of 2015 as construction on the larger PPP and alternative finance projects commenced. As noted previously, these projects and a number of other project opportunities are expected to make an even greater contribution to earnings in 2016. We expect that additional projects will come to the market in 2016 as governments at all levels act to address the current infrastructure deficit and contend with slow economic growth. The revenue in earnings contribution in 2016 is rather derived from this market sector is expected to exceed the performance achieved in 2015. The retail and commercial sector contributed 15% of 2015 revenues as compared to the 19% in 2014. The slight decline in contribution derived from this sector was expected in response to a sluggish economic environment. Although this market sector will continue to offer opportunities to the company, we believe that uncertain economic conditions will limit activity and delay any meaningful turnaround in this sector in 2016. Consequently we believe that in 2016 revenues and earnings attributed to this market sector will remain comparable with those recorded in 2015. With that, I'll now turnover the call to the conference call operator who will take your questions intern.
Q - Yuri Lynk: Hey good morning guys.
Ian J. Boyd: Good morning Yuri.
Stephen R. Entwistle: Good morning.
Yuri Lynk: Ian can you gives us some sense as to how much or what you have got left in that industrial backlog versus a year-ago. Really what I'm trying to drill down is just the cadence of the margin degradation that we will see throughout 2016.
Ian J. Boyd: We don’t disclose on the segment so that how much of our backlog is made up in those segments, but suffice to say it’s declined to the course of 2015 as we’ve executed that large work program and we still have replaced some of that work program and our maintenance strategy forward with contract awards again similar to what our expectations are, they are smaller and shorter cycle in nature. And so I don’t know if I can answer your question quite the way you would like me to answer the question other than say that it will decline as it declined at the end of ’15, but we still see the opportunities that exist there. Probably the shift in our work program isn’t just the decline in the industrial side of the business is, we have had significant awards in the institutional side that has just sort of really changed the work program and shifted that to larger institutional to work. So I am not sure that I can totally answer the question that you have asked me.
Yuri Lynk: Right, may be another I mean this was kind of the first quarter where did see a year-over-year decline in the margins I mean is the mix that we saw in the fourth quarter representative of what we might see going forward or is there still the pendulum still can swing further towards the institutional work?
Ian J. Boyd: I would say that what you saw in the fourth quarter is representative I think it still has room to move closer to the institutional or as you put it further towards the institutional sector I think there is still movement there based on the opportunities upcoming and just like I said when you look at the industrial side of things, I think that most of our project teams we can keep a significant amount of our project teams busy. It’s going to be just a shorter cycle more competitive environment that you are working in. So what we are seeing from our clients isn’t so much just an entire shutdown as much as it is again just seeing a more methodical approach to what they are tendering and what the projects they are willing to go forward with, so again we will still see opportunities but I think you will see more shift further shift I guess towards the institutional.
Yuri Lynk: Okay. Last one for me, has there been any change on how the Board views the dividend and I am asking because usually you declare dividends for the next several months in advance when you print your quarter, but you just declared for April just curious to if there is anything behind that?
Ian J. Boyd: No there isn’t and if you look last year I think last year is similar in when we were doing Q4 and annual for 2014 our declaration was also just for equal and it is just a matter of timing a one that is between Board meetings and the timing you could declare prior to actually issuing the dividend. So there has been no change in the view in terms of the dividend in and of itself.
Operator: [Operator Instructions] The next question is from Frederic Bastien with Raymond James. Please go ahead.
Frederic Bastien: With the addition of non-recourse debt and some cash associated with your P3 projects there maybe some divergence among analysts as to what your net cash position is and will be on a go forward basis? What do you estimate your net cash position to be at this time?
Ian J. Boyd: You can go on.
Stephen R. Entwistle: Well just as you can see in the financial statements we have about $220 million of cash on hand at December 31 and that the debt associated with that non-recourse project financing of about $15 million. What you will see is the amount of work programs are cost and estimated earnings in excess of billings we would anticipate that to grow through the balance of 2016 as those projects progress through construction and the amount of debt will increase for one of those projects we will anticipate that it will be completed by the end of 2016. You will realize the cash proceeds from completion of the contract and will drawdown on the debt.
Frederic Bastien: Okay. I know in your notes 24 you have a section where you show restricted cash and cash equivalents meaning you started splitting out I guess you have cash deposit in blocked accounts for special projects and there is some other that is supporting letters of credit, how would you qualify those?
Stephen R. Entwistle: I would say that the amount that is flagged in the blocked accounts we are not expecting that to change dramatically from the number that is disclosed in those kinds of financial statements. And in terms of the cash that is aside to cash collateralize outstanding LCs I wouldn’t expect that amount to change dramatically. The amount that is held in joint ventures, which is earmarked for those specific joint ventures, it will continue to remain high but it will variable. I wouldn’t say we are anticipating it to be substantially different relative to the total cash position of the company through the balance of 2016.
Operator: The next question is from Maxim Sytchev with Dundee Capital Markets. Please go ahead.
Maxim Sytchev: I think in your last conference call you were talking about the pace of P3 opportunities that you anticipate to bid on in 2016 and sort of been seeing you winning you that, maybe it is not probably as strong as ’15, I was wondering if you can please update us on that and whether the potential or speculative stimulus program would kind of change your view in terms of the potential P3 replenishment for you guys? Thanks.
Ian J. Boyd: Okay. So I mean currently I think what we said last time is accurate and part of it is just timing of the opportunity, so when we had so many of them in 2015 in which that we were actually at the point of submission and then ultimately being awarded them it is just the sort of timing on them, so I don’t know that has necessarily something to do with the greater sort of PPPs availability in the market sector, meaning what is available, there is a little bit I think of decline here in the early part of ’16, but I think the pipeline is still healthy it is just a matter of timing. So what we have right now is we have one that has been submitted we are in the pursuit of another I know at the current timeframe and then we have teamed on several others that we expect will come to market at least in the request of qualification stage through the course of 2016. It is just you are going to see that stretch out by the time you actually get the rest, if you are fortunate enough to be shortlisted you are going to see the pursuit phase I think is going to border over into 2017 I would argue. So it is just a matter of timing I think more so than anything else, but certainly ’16 will be certainly less busy for us I would say in the immediate pursuit phase and closing out, meaning submitting those proposals is and I think it has more to do with timing elements than anything else. Now with respect to the infrastructure programs, I don’t know that we have seen a great deal of detail coming out about or you would expect more detail coming out of the problems of Alberta I don’t know that we have seen a significant amount of detail come out in terms of what does it actually mean in terms if they do an infrastructure stimulus and even from a national perspective and with the new liberal government again I don’t know that we have seen a significant amount of detail in terms of what is happening in terms of the infrastructure program. The projects we expect to see available in PPP or alternative finance I think we are still comfortable they are going to come to market and it is just a matter of whether or not additional institutional programs or projects come to market, so I am not sure if I answered your question Max but.
Maxim Sytchev: So I guess from your perspective whatever institutional work that may be was not counted on from last year just again on that stimulus speculation it is potentially more of a 2017 event for you guys?
Ian J. Boyd: Yes I would say.
Maxim Sytchev: Okay.
Ian J. Boyd: Okay.
Maxim Sytchev: And then going back to the industrial vertical can you let us know what percentage of backlog is industrial right now of revenue roughly?
Ian J. Boyd: No. We don’t disclose the segments of our backlog we are here to do segmented disclosures so. As I said to Yuri earlier and virtually asked the same question is that - it reduced in Q4 I mean we have actually executed a large work program, so again what we are seeing - and we had success in Q4 in terms of securing additional work in the resource and energy sectors. Again it is characterized by smaller and shorter cycle work and so we are going to see more of that so as I said in my remarks I think we are just going to see the backlog decline associated with that simply because you are not going to see the large capital projects that are going to be available you are going to see smaller projects available and we will still have our success and as I said earlier, our clients in the resource sector are certainly being more selective in terms of how they spend the capital dollars they have within their budgets. But I also believe that we are well positioned with those clients to be able to see those opportunities and have a good opportunity secure them no different than we experienced in Q4, so again the shift is a little bit of combination of two things, one, great success in the institutional side of things, being able to build up the work program through the course of 2015, so obviously that shifts our work program more to that institutional side of things in and of itself even if you didn’t have a decline or expected decline in the resource sector. And then there is a combination where there are less opportunities on that industrial side of things so that is about as much sort of I will call it clarity that I can give to you in terms of what our backlog is comprised of at this point.
Operator: The next question is from Michael Tupholme with TD Securities. Please go ahead.
Michael Tupholme: Ian I jumped on a little bit late so I apologize if you already touched on this, but can you just about some of the non-resource opportunities in industrial and I am thinking in the past you have talked about hydroelectric and just talk about what you see in front of you in those areas at this point?
Ian J. Boyd: Yes, and we still continue to see so if you looked at Eastern Canada we still continue to see opportunities at the lower Churchill and Muskrat Falls projects. Again the major tenders I believe are awarded as it relates to that project so what you are going to see is opportunity to secure a smaller scale work through the execution of that overall project that mega project and we are doing work now on that project and we I believe though the course of ’16 we will still continue to see opportunities in again shorter cycle in nature smaller scale. If you look through and just in kind of the run of the river side of things we see some activity in one of the river they are a little bit less predictable in terms of how they actually come to market because a lot of them just involve whether or not the client that we are particularly working for actually had the deal to get power onto the grid. So ultimately those ones are ones we are working on through the course even in ’15 and ’16 it just depends on whether those actually come to fruition in our real projects at the end of the day. And so they tend to be a little less certain in terms of when they actually will come to pass, so we continue to work on those and I think you kind of look at I would say primarily Ontario and British Columbia for those Red River type projects. Then you look at we have seen more activity Eastern Canada and Western Canada in terms of LNG projects so outside of sort of I’ll say outside of oil and anyway in sort of Northern Alberta if you look at where the opportunities are is LNG and continue to look our opportunities, price opportunities for various clients both West Coast and East Coast. And again it’s just uncertain as to whether those projects will actually proceed West Coast I think final investment decision even and associated with at least one of those projects isn’t due till later this year, so it will somewhat depend on those answers. That could be a turning point in terms of the industrial operations and be a difference maker I think for contractors’ period and hopefully we are a beneficiary of that as well if they decided to proceed.
Michael Tupholme: And I recognize that there is a lot of uncertainty as to what opportunities in this non-resource I guess LNG is resource, but outside of sort of your core industrial activities, would you expect the industrial part of the business related to all those areas you just talked about to be the contribution for revenue perspective to be down in ’16 compared to ’15 or you think kind of a little bit flat?
Ian J. Boyd: No I think it will reduce and I think that we have said that in our remarks and even in some of our outlook we expect that both have revenue and gross profit generation from our industrial side of the business will reduce in 2016.
Michael Tupholme: Sorry, specifically more on that - on the like outside of your core kind of Alberta related industrial activity and what are you thinking about these other opportunities with respect to say hydroelectric and the work you are doing at Muskrat Falls, would you think that that type of work and its contribution in ’16 will be down as well?
Ian J. Boyd: Okay. Sorry I misunderstood the question in the first instance. No I think that will remain relatively flat I think we will still have the opportunities we have outside of I’ll call it the resource side of the business as we have had in 2015.
Operator: There are no further questions at this time. I’ll turn the conference back over Mr. Boyd for closing remarks.
Ian J. Boyd: Thank you again to everyone for your participation in Bird Construction’s 2015 annual and fourth quarter conference call. I hope we’ve been able to provide you with some further clarity to our 2015 results, and our expectations for 2016, allowing you to evaluate your interest in Bird. As always we are available if additional information is required. So please do not hesitate to get in touch with us at our office. Thank you and everybody have a good day.
Operator: This concludes today’s conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.